Operator: Welcome to Teledyne's Third Quarter Earnings Call. Here's our first speaker, Mr. Jason VanWees.
Jason VanWees: Thank you, and good morning, everyone. This is Jason VanWees, Vice Chairman, and I'd like to welcome everyone to Teledyne's Third Quarter 2025 Earnings Release Conference Call. We released our earnings earlier this morning before the market opened. Joining me today are Teledyne's Executive Chairman, Robert Mehrabian; President and CEO, George Bobb; EVP and CFO, Steve Blackwood; and Melanie Cibik, EVP, General Counsel, Chief Compliance Officer and Secretary. After remarks by Robert, George and Steve, we'll answer your questions. But of course, before we get started, attorneys have reminded me to tell you that all forward-looking statements made this morning are subject to various assumptions, risks and caveats as noted in the earnings release and our periodic SEC filings, and of course, actual results may differ materially. In order to avoid potential selective disclosures, this call is simultaneously being webcast and a replay via webcast and dial-in will be available for approximately 1 month. Here is Robert.
Robert Mehrabian: Good morning, everyone, and welcome to our conference call. First, I must say I'm very pleased to announce that we had record -- all-time record quarterly sales, non-GAAP earnings per share and free cash flow. Sales increased 6.7% from last year. Non-GAAP earnings increased 9.2% and free cash flow was a record $314 million. Furthermore, total company new orders were also a quarterly record due in part to continued backlog growth at Teledyne FLIR. Given our strong third quarter performance, recovering commercial short-cycle businesses and also robust backlog growth, we're raising our full year earnings outlook at both the bottom and the top of the forecasted range. Likewise, last quarter, we expected 2025 full year sales to be about $6.03 billion, but now we believe we may achieve sales of $6.06 billion. Our defense-related businesses, including our new acquisitions are performing extremely well. And we continue to pursue a number of significant contract opportunities not yet formally awarded or reflected in our backlog. However, given the current U.S. government shutdown, we're a bit measured on expectations for new contract awards or acceptance of allowance of shipments that we need export licenses for. And of course, cash collections from the government will be somewhat delayed. The prior shutdown in December 2018 and early 2019 lasted about 35 days. I believe today we're in the 22nd or 23rd day. In that -- at that time, between 2018 and '19, we didn't really experience any significant impact from the shutdown. And we similarly don't expect to have much impact, except if the shutdown were to stretch for months and God forbid to the end of the year. It may affect about to -- if it goes that long, it may affect about 25% of our sales somewhat, which are related to the government. but any temporary impact to commercial sales for which we may be dependent on U.S. government exports may be somewhat affected. Overall, I do not think this is going to affect Teledyne significantly. Also, you may have noted that China has designated Teledyne FLIR LLC as an unreliable entity. While customers in China represent only 4% of our sales in 2024-'25, such sales by Teledyne FLIR LLC were less than 0.4%. So we don't expect much effect from there. Actually, Teledyne Brown Engineering was added to the same list in December of 2024, but its sales to customers in China are 0. Finally, I must note, despite spending $770 million in cash year-to-date on acquisitions, our current balance sheet is the strongest since prior to the FLIR acquisition in 2021. We also expect to close a small TransponderTech carve-out from Saab very soon, having recently received approval from the government of Sweden. And furthermore, we continue to pursue a number of other acquisition activities. George will now briefly comment on the performance of our business segments.
George Bobb: Thank you, Robert. In the Digital Imaging segment, third quarter sales increased 2.2%. Teledyne FLIR sales continued to grow, but this was also the first quarter in 2 years in which sales from our legacy DALSA, e2v businesses collectively increased modestly. For example, sales of our sensors and cameras for industrial and scientific vision systems increased year-over-year and accelerated for the second quarter in a row. However, this was partially offset by ongoing weakness in sales of X-ray detectors, especially for the more consumer discretionary dental market. Both the overall Teledyne FLIR Defense and Industrial businesses increased with sales of unmanned systems, counter unmanned air systems and infrared components and subsystems being the strongest performers. Third quarter Digital Imaging book-to-bill was 1.12x. And as Robert mentioned, we continue to pursue a number of opportunities not yet awarded. These include, for example, unmanned aerial systems opportunities such as a full rate production order for our Rogue 1 loitering munition under the Marine Corps Organic Precision Fires-Light or OPFL program as well as a potential new award under the U.S. Army's Low Altitude Stalking and Strike Ordinance or LASSO program, for which we are competing. There also remains several unawarded contracts, both domestic and international for FLIR's airborne, land and maritime surveillance systems. Non-GAAP operating margin decreased 92 basis points, primarily due to greater cost reduction expenses, which we did not exclude from non-GAAP margins as well as 90 basis points of increased R&D expense. In the Instrumentation segment, which consists of our Marine, Environmental and Test and Measurement businesses, third quarter total sales increased 3.9% versus last year. Overall sales of marine instruments increased 3.2% due to strong sales of interconnects used in offshore energy production and for U.S. Virginia and Columbia class submarines. However, these were partially offset by difficult comparisons in offshore energy exploration and some reduced sales of products for hydrography and oceanographic research. Sales of environmental instruments increased nicely at 7.5%, this primarily resulted from higher sales for process gas safety and ambient air and emissions monitoring instrumentation due in part to demand for new natural gas-fired power plants and other energy infrastructure. Sales of electronic test and measurement systems, which include oscilloscopes, protocol analyzers and Ethernet traffic generators increased modestly both sequentially and year-over-year. In particular, sales of high-bandwidth oscilloscopes used by customers developing or testing high-speed networking devices increased nicely, but were partially offset by sales to customers in the automotive and consumer electronics markets. Instrumentation operating margin in the third quarter decreased slightly on a tough comparison. However, we continue to expect a slight increase for full year 2025. In the Aerospace and Defense Electronics segment, third quarter sales increased 37.6%, primarily driven by acquisitions and organic growth of defense electronics products. Commercial aerospace aftermarket sales increased and OEM orders for 2026 deliveries were strong in the quarter, but OEM-related shipments declined from last year given some continuing customer destocking. Overall, segment operating profit increased year-over-year, but GAAP and non-GAAP segment margins decreased slightly year-over-year due to comparatively lower current margins at recently acquired businesses. Nevertheless, overall margin increased sequentially for the second consecutive quarter since closing the acquisitions. For the Engineered Systems segment, third quarter revenue decreased 8.1% given an especially tough comparison with last year. However, despite the lower revenue and also a tough comparison, operating margin increased 30 basis points from last year. I will now pass the call back to Robert.
Robert Mehrabian: Thank you, George. Let me just conclude by saying there are always going to be near-term challenges to overcome, and we have a strong history of doing that. We have a portfolio that varies from market-to-market and no one market in our portfolio goes down at once. At the same time, no one market goes up all at once. Nevertheless, our strong portfolio always protects us from market turbulence. The government shutdown, of course, is a problem for everybody. And there is some market volatility that we're dealing with, but we're resilient, we're well positioned, and we have a number of very strong growing markets with tangible critical products and solutions, as George mentioned. For example, in our unmanned air and subsea system as well as our space-based electronics and imaging sensors for both the U.S. government and our NATO allies, we're very strongly positioned. The ongoing need for new energy sources and new or renewed power generation are positively impacting our Instrumentation businesses. And the development and inspection of advanced semiconductors utilize our electronic test and measurement instrumentation and our digital imaging solution. Finally, regarding M&A activities, while we have a very strong balance sheet and we have -- as I mentioned before, we have about $1 billion in free cash flow. We're going to be aggressive, but we're also going to be prudent not to overpay for things that are trading much higher than our own multiple. Let me just conclude with one remark. First, I want to congratulate George Bobb for being added to our Board last night. But I also want to note that I plan to be the Executive Chairman of the company for at least another 3 years. With that, I'll now turn the call over to Steve.
Stephen Blackwood: Thank you, Robert, and good morning. I will first discuss some additional financials for the quarter not covered by Robert, and then I will discuss our fourth quarter and full year 2025 outlook. In the third quarter, cash flow from operating activities was $343.1 million compared with $249.8 million in 2024. Free cash flow, that is cash flow from operating activities less capital expenditures, was $313.9 million in the third quarter of 2025, a record for Teledyne compared with $228.7 million in 2024. Cash flow increased year-over-year in the third quarter, primarily due to favorable accounts receivable collections in the third quarter of 2025 compared with 2024. Capital expenditures were $29.2 million in the third quarter of 2025 compared with $21.1 million in 2024. Depreciation and amortization expense was $84.5 million in the third quarter of 2025 compared with $76.9 million in 2024. We ended the quarter with $2.0 billion of net debt. That is approximately $2.53 billion of debt less cash of $528.6 million. Now turning to our outlook. Management currently believes that GAAP earnings per share in the fourth quarter of 2025 will be in the range of $4.76 to $4.98 per share, with non-GAAP earnings per share in the range of $5.73 to $5.88. And for the full year 2025, we believe that GAAP earnings per share will be in the range of $17.83 to $18.05 and non-GAAP earnings per share in the range of $21.45 to $21.60. I'll now pass the call back to Robert.
Robert Mehrabian: Thank you, Steve. We'd like now to take your questions. Operator, if you're ready to proceed with the question and answers, please go ahead.
Operator: [Operator Instructions] And our first question is from the line of Andrew Buscaglia with BNP Paribas.
Andrew Buscaglia: So last quarter, there was some uncertainty around some of the strong growth you saw and whether that was pulled forward or not. And it seems -- can you maybe run through the several segments where -- and talk about how that shook out? In some areas, it seems like it didn't. In some areas, it didn't seem like growth really resumed that strong. But in your mind, how did things progress?
Robert Mehrabian: Well, I think overall, with acquisitions, we had 6.7% growth across our portfolio. I think what we're looking at is various businesses did differently, as you mentioned. For example, our Marine businesses continue to grow very strongly, and we're winning contracts, both in the defense domain, which is our underwater vehicles as an example, as well as in energy development. In some of our instruments, there's a variation between various Instrument businesses. In our Gas and Flame businesses for safety, we're doing very well, while we see a little softness, for example, in our water and products that we -- that are used in drug development. Overall, I'd say we also did have some pull-ins into Q2, maybe a little more in test and measurement than other areas. But going back to some of the other things that we mentioned before, FLIR's growth was 3% organic. We also had stronger growth in some of our commercial FLIR businesses and our unmanned systems, which are both air, ground and systems grew 10%. So there's variation in our portfolio. And going back, Andrew, to what I said before, we have a fairly diverse portfolio. Some things go up, some things go down, but overall, the truck is moving forward, and it's moving forward handsomely based on what I see.
Andrew Buscaglia: Yes. Okay. And what about specifically in Digital Imaging, you made the comment, industrial automation or imaging equipment for that market. Presumably, that's machine vision starting to pick up. So maybe is that one area that grew last quarter nicely, but seems like sustained growth from here?
Robert Mehrabian: Well, I'll answer part of it and maybe George would want to add something to that. I think overall, the industrial and scientific vision systems grew about 3.4%, which to us is very attractive. Overall, DALSA, e2v which is the rest of the digital imaging rather than FLIR was relatively flat, both quarter-over-quarter and we expect year-over-year. But George has really taken some very strong actions to take cost out of the part of that business that has slowed down over the last 2 years. And as a consequence, he and I believe that what will happen is that the margins now will start improving going forward, and that business will pick up because we've [ skinnied ] it down to where it should be much more healthy. George, do you want to add anything?
George Bobb: I think the only thing I would add is in the industrial side, we saw sales increases year-over-year in both the Machine Vision Cameras business, where we're doing applications like semiconductor mask and wafer inspection, inspection of electronic components. And we also saw an increase year-over-year in our Machine Vision Sensors business where we make sensors for other OEMs.
Operator: The next question is from the line of Greg Konrad with Jefferies.
Greg Konrad: Maybe just putting a finer point on Digital Imaging margins. I mean you called out some of the headwinds in the quarter between R&D and the restructuring. But I think in the past, you had talked about a 24% target. How do you think about the margin recovery into Q4 and maybe into next year for Digital Imaging?
Robert Mehrabian: I think the margins between '23 and '24 are -- at least in Q4 are obtainable, achievable. I think what will happen is that for the year, when you add the first 2 -- 3 quarters and then Q4, for the year, we should be flat with last year, even though we took a significant amount of cost out in the first 3 quarters, including Q3 that we just concluded. So with all of that said, if we can maintain the same margins as last year with all the cost out, then going ahead, I think '24 is achievable.
Greg Konrad: And then maybe just to put a finer point on the revenue. So you raised the full year outlook by 0.5% to $6.06 billion. Is that all organic? And then it looks like maybe there's a $20 million step-up sequentially in Q4. Can you maybe talk about seasonality into the final quarter of the year and maybe which segments you expect to see a step-up versus maybe where there's a step down tied to just typical seasonality?
Robert Mehrabian: Well, first, let me start with Digital Imaging. $10 million of the $30 million comes from FLIR. We expect higher revenue in that area. $10 million of it comes from aerospace and defense organic and then another $10 million comes from our acquisition from Qioptiq. So it's a $30 million increase. It's not a big number, but there's also a little conservatism built into that, of course.
Operator: Our next question is from the line of Jim Ricchiuti with Needham & Company.
James Ricchiuti: Just what I -- George, I think you gave a book-to-bill number, and I wasn't sure if that was a book-to-bill in the Digital Imaging business. But maybe if you could, are you able to give -- can you give us -- provide a book-to-bill for the various -- the 3 major segments?
George Bobb: Sure. Happy to do that. Yes, the book-to-bill ratio I gave you was for Digital Imaging, 1.12. In the Instrumentation segment, we had a book-to-bill overall of 0.9, a little higher in T&M, for example, 0.98, Environmental closer to 0.95. Marine closer to 0.8, about 0.8. But keep in mind that's a longer cycle business, a little lumpiness in orders there. We have a lot of backlog in the Energy business. So not concerned about that short-term lower book-to-bill ratio. And then in Aerospace and Defense Electronics, again, longer cycle business, lumpiness in some larger orders, book-to-bill ratio was 0.84. And Engineered Systems was over 2x in the quarter. But again, that's a long cycle business. And so we tend to look at the longer-term view there, not one quarter at a time. Yes. And the overall book-to-bill ratio of 1.09.
James Ricchiuti: Terrific. And you alluded to in the earnings announcement, the potential for significant contract opportunities. And I'm just wondering if you can give us some color on which areas of the Defense business, there are some potential large contracts? And any idea about the time line just given the government shutdown?
George Bobb: Yes, I wouldn't want to opine too much on the time line of the government shutdown. What I would say is...
James Ricchiuti: Not about the shutdown, just -- sorry, just as it relates to the time line for these contracts, sorry.
George Bobb: Sure. No problem. I would say we have some near-term opportunities, particularly in the unmanned space. I mentioned a couple of them in the opening for our loitering munition program, both with the U.S. Marine Corps that's the Organic Precision Fire-Light program. We're looking for a full rate production order there. Again, I would think that would be relatively near term, hopefully in Q4 depending on the timing of the government operations. And that would be in the range of tens of millions of dollars. The LASSO program that I mentioned, the U.S. Army program, that initial order, again, hopefully near term that would be initially more kind of millions of dollars and grow from there. And overall, what I would say, is unmanned systems, things like our Black Hornet drone, our sales into counter UAS systems of both of ourselves and where we're selling to other OEMs, integrated surveillance solutions for both border protection and defense, et cetera. So I think those are the strongest areas. Also, we continue to see a lot of strength in our Submarine business where we provide interconnections on the Virginia and Columbia class submarines.
Operator: Our next question comes from the line of Jordan Lyonnais with Bank of America.
Jordan Lyonnais: On the 737 rate increase step-up, how are you guys thinking about that into 4Q and next year given the comments on some destocking?
George Bobb: Yes. This is George. So what I would say there is we expect that destocking really to continue through most of next year. So we won't see much of a benefit from the OEM Boeing 737MAX rate increase next year, although the demand there continues to be strong, and we received a large order for 737MAX 2026 delivery. So backlog is there. Just from a year-over-year comparison standpoint, we won't see much benefit from that slight increase in 2026 to the production rate.
Jordan Lyonnais: Got it. And then on defense, do you guys have any concerns about critical minerals availability specifically for the sensor products for FLIR?
Robert Mehrabian: We have a little exposure there. On the other hand, we've been very diligent to cover that exposure. So overall, I don't think that's going to affect us in the short term.
Operator: The next question is from the line of Damian Karas with UBS.
Damian Karas: You mentioned -- yes, I was hoping to dig in the weeds a little bit more on your comments about cameras and sensors being up year-over-year. Could you just perhaps elaborate on that? What do you think is driving the improvement? And have you been seeing those trends continue into the fourth quarter?
Robert Mehrabian: Yes. I can tell you, first of all, the comps are a little easier with respect to last year. The -- our cameras are up about 11% and our sensors are up about 5%. Some of our scientific cameras that are very specific applications are down a little bit about -- so all-in-all -- and that's probably because of export. All-in-all, when you add it all up, we're up about 3.4%. I think what has happened, as I mentioned before, with taking the cost out of the DALSA, e2v businesses aggressively this year, that business is stabilized. It's going to grow. And the margins are going to improve as time goes on. So we're positive about that. It's that when you look at the total Imaging businesses, initially, right after we acquired FLIR, everybody was worried about FLIR, FLIR, FLIR. Well, we solved that problem. FLIR is doing great. FLIR Defense is just hitting every milestone we expect. And now DALSA, e2v is stabilized. So we're very positive about our Digital Imaging segment altogether.
Damian Karas: That's really helpful. And Robert, I just was wondering if you could maybe give us your perspective on the macro outlook. Are there any changes to your view since your last update? And I know it's early to be giving guidance for 2026. But just seeing where trends are, and if you were to ballpark today, where do you suspect kind of growth could line up in 2026 if the current conditions kind of remain?
Robert Mehrabian: Yes, let me just kind of answer it first broadly. We are very positive about our Defense businesses with all the geopolitical problems you see. If you, for example, look at Europe, they are going to increase their defense spending. We, Teledyne have 5,100 employees in Europe, distributed among many countries. We make drones in Sweden. We make other products. We make stuff in Norway. We have people that go in and out of Ukraine, they -- and Denmark, those guys are under a lot of pressure when we talk to our folks. They have to increase their defense spending. So macro level, if I look at that, with all of our people there and all the need for in-country production, I see very positive trends for us in Europe. Today, we probably produce something close to $0.5 billion in revenue in European defense, and I expect that to increase as we go forward. Coming back to the -- just the bigger picture of defense, George talked about our loitering munitions. As you well know what they mean by loitering munitions, you got something that's flying around and can essentially attack a target totally. Most of our competition has fixed wing aircraft. We have rotating wing aircrafts or quad aircraft. Interestingly enough, that also can fit in a tube and be fired out of a tube and it can go vertical takeoff and landing, and we're very positive about that. So the reason I'm talking about this stuff is because defense is going to be a pretty active area, both in Europe and of course, in the Far East. And then I have to say our small drones, what we call our nano drones, by the end of next year we would have sold $0.5 billion of these nano drones that you can hold in your hand. We probably have the strongest position there. So between all of the above, I think we're going to do fine in the defense. In the commercial domain, we see machine vision recovering, as I said earlier, with a reduced cost structure. We see our test and measurement recovering. And we do have long-term opportunities in power generation. So all-in-all, '26 should be a good year for us, barring any unforeseen catastrophes across the world, which I don't expect. And we're just doing our plans for '26, and we're very positively inclined.
Operator: Our next question is from the line of Kristine Liwag with Morgan Stanley.
Kristine Liwag: Robert, that was really helpful color on what you provided with European defense. And I just wanted to clarify a few things. When you said $0.5 billion, is that encompassing all of your defense exposure to Europe? Or is that specifically only on the drone exposure that you were discussing? And then also more broadly speaking, I guess my question is really trying to understand more your go-to-market for these things. When you're looking at the drone and counter drone market, how are you thinking about being a prime and selling your nano drones versus your core competencies historically on sensors and those kinds of things? And how do you look at the opportunity set for those kind of different go-to-market?
Robert Mehrabian: Okay. Kristine, let me start from the beginning. The $0.5 billion applies to 2 things. First, our total military sales this year in Europe. Also $0.5 billion applies if you add everything that we've sold, all the nano drones that we've sold or would be selling through next year, that's another $0.5 billion. So they're kind of -- only $60 million or $70 million of the first $0.5 billion is the nano drones. So let's put that to one side. What we're doing is we're both prime in defense as well as subprime. For example, in loitering munitions, we're prime. In nano drones, we're prime. In some of our counter UAS systems, we have partners. And so it's a mixture, but we also have strong presence in all of these countries, which is very important because everybody, both in Europe and the Middle East is driving towards in-country production of their defense products, and we have presence everywhere. So that works for us. It works for us in Europe, of course, out of 15,600, 15,700 folks in our company, 5,100 are located in Europe. So that's how we go to market. And where necessary, we established new entities to be able to operate from.
Operator: Next question is from the line of Guy Hardwick with Barclays.
Guy Drummond Hardwick: Just a little -- I want to ask a little bit more about the Digital Imaging margin. So I think based on your comments that the reason for perhaps the Digital Imaging margin will be lower than expectations being R&D and also the severance costs. So obviously, you get the benefit of the severance costs, particularly next year. But is R&D a permanent step-up effectively funded by the reduction in the cost base? And kind of looking a bit further forward for 2026 as a follow-up to Damian's question about the top line, what kind of -- what should we be aware of in terms of margin mix Digital Imaging in 2026 versus FLIR versus medical versus industrial? What kind of margin dynamics could we potentially expect?
Robert Mehrabian: Let me take a piece of that and then see if George wants to add to it. First in R&D, there are very, very specific areas that we've decided to invest. For example, in our test and measurement systems, we've decided to invest especially in protocol analyzers and the marriage of our oscilloscopes and protocols as well as at our very high-end oscilloscopes, we've intentionally decided to do that. Switching over to digital imaging, there's an area of digital imaging that we think we can be extremely successful, and that's in our Sensor businesses. We've decided to invest a little more in our Sensor businesses. And frankly, that's worked for us because some of our sensors, whether they are for visual systems or for infrared systems are doing very well. Our infrared sensors, we're also investing in because we are the supplier of infrared sensors to almost everybody that flies a drone in the United States or produces a drone. So the investment in R&D is very specific for specific areas cut across all of our products. On the margin improvement for next year, I'll let George talk a little more about that.
George Bobb: Yes. What I would say is, first, as we mentioned before, obviously, we've taken the cost out. We're seeing the recovery in the short-cycle business. So it's early really to talk about really what the mix is going to look like next year, what 2026 numbers are specifically going to look like. But in general, as the machine vision margin comes back, that's positive. As we continue to grow in defense, that's a little perhaps negative in certain areas on the overall margin. So overall, I'd say mix is probably neutral headed into next year, but we certainly should benefit from the cost reductions that we took this year.
Operator: Our next question is from the line of Jonathan Siegmann with Stifel.
Jonathan Siegmann: So you've commented already on unmanned. Demand signals globally are very strong, but there also seems to be substantial aspirations by customers of getting these capabilities at much lower cost. So you have great market positions in sensors and cameras, and you've already highlighted the prime opportunities that you have. But could you comment on how attractive is the potential to supply some of these components and drones at much lower prices, but substantially higher volume? And maybe comment on is there opportunities to invest more capital in this area?
Robert Mehrabian: Well, thank you very much. That's a really good question. That I would say much lower that's in due course. I think people are willing right now to pay for accuracy and for ability to defeat desired targets. So we are actually in a lot of ways, a lot of our drones are low cost compared to others and also because they're highly capable. So for example, George mentioned and I mentioned our -- what we call the Rogue 1, which is a quadcopter. It's the lightest weight of the competition. It only weighs about 10 pounds, and as you can imagine, as we decrease the size, the cost goes down. So we are very cost competitive there. The nano drones, which I mentioned earlier, again, those are produced in volume, very cost competitive. What I think will happen is people may go to the low end of the cost structure, but they'll have to give up some capabilities. And so you may -- in defeating an armored vehicle, you may have to have a massive warhead in your drone, whereas in our case, we can do the same thing much more accurately with a smaller vehicle with a smaller warhead. So I don't know, it's a give and take. The whole experience in Ukraine, which we've had, has taught us that there is no one solution for what's happening. They obviously are doing very well. On the other hand, they don't have to have that many capable stuff to just fly over the horizon and hit somebody. So cost is important, but I think accuracy and weight are going to be just as important.
Operator: The next question is from the line of Joe Giordano with TD Cowen.
Joseph Giordano: Can you hear me?
Robert Mehrabian: Yes, sure, Joe.
Joseph Giordano: Yes. Okay. Great. Yes, so for unmanned, we've been talking about $450 million across all unmanned. It feels like -- kind of for a while, it feels like a little bit of a dated number. Maybe how can we frame out that over the next couple of years? I mean we've talked about potential opportunities here. But if we want to look 3, 4 years out, like is that -- what can that $450 million, if things break correctly for you, really become? How material can that business really get?
Robert Mehrabian: Yes. I think we're around $500 million now versus $450 million that we talked about before. We're investing in that area. And we're gaining market share not just on drones that we've talked a lot about, but also underwater. As you may know, that we're probably unique as a company where we have products for air unmanned, ground unmanned and underwater unmanned. And I'll let George talk a little bit about the underwater domain because that's our growth domain right now, and we're very excited about that. So the $500 million will grow for sure. How fast? I'll know in about a month or 2 when we do our plan for the next couple of years, but grow it will.
George Bobb: Yes. I would add on the subsea unmanned side, we have both our Subsea Glider, which are kind of long duration, long endurance, can stay on station for a long time, useful, as you can imagine, in areas like anti-submarine warfare and other areas. We also have propelled AUVs, particularly out of our Iceland business, Teledyne Gavia. Those vehicles shorter in time and duration, but bigger can carry more payloads, again, for things like mine countermeasures, anti-submarine warfare. So yes, I think we see growth both in the unmanned aerial side, the ground side, but also we're seeing significant demand with regard to the subsea vehicles, given needs in the Black Sea, Baltic Sea and Asia Pacific.
Joseph Giordano: That makes sense. And just a follow-up. If you're thinking about your full year EPS growth year-on-year, how much would you attribute that to M&A? And how much would you say is organic this year?
Robert Mehrabian: For this year?
Joseph Giordano: Yes.
Robert Mehrabian: For this year, I would say probably most of it is organic. We have a little bit from M&A because of our acquisition that we made. I'm going to say maybe $0.20, $0.25 from acquisitions, primarily because, as George mentioned earlier and I have before, when we make acquisitions, initially, it drives our margins down in reality because they don't have the margins that we enjoy. But as you look at our products, if you look at across all of our acquisitions, after a few years, the margins improved significantly. And so they kind of become the standards that we have for instruments, defense, otherwise. So the margins this year contribution from acquisitions are relatively light, but they'll improve next year.
Operator: Thank you. At this time, we've reached the end of our question-and-answer session. And I'll hand the floor back to management for closing comments.
Robert Mehrabian: Thank you, operator. I'll now ask Jason to conclude our conference call.
Jason VanWees: Thanks, Robert. And again, thanks, everyone, for joining us this morning. Of course, if you have follow-up questions, please feel free to call me, and my number is on the earnings release. And all our earnings releases and a replay of this call via webcast is available on our website. Operator, if you could please give the replay information, that would be ideal. And again, thanks, everyone. Bye-bye.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. We thank you for your participation. Have a wonderful day.